Operator: Thank you for standing by. This is the Chorus Call conference operator. Welcome to the FLYHT Aerospace Solutions’ Third Quarter 2014 Earnings Conference Call. As a remainder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. (Operator Instructions) Due to the volume of questions expected on today’s call, we ask that you please limit your questions to three to allow others to ask. If there are any outstanding questions at the end of the call, the company will be happy to take them over e-mail at investors@flyht.com. (Operator Instructions) At this time, I would like to turn the conference over to Bill Tempany, CEO of FLYHT. Please go ahead sir.
Bill Tempany: Thanks very much. I’d like to welcome everybody to the Q3 conference call. We are going to change our format a little bit. As most of you know, Nola Heale joined us about two months ago now and Nola has been drinking from the firehose, learning about our business and our opportunities. Nola is going to present the financial statistics from the company. I will give you guys some update on some of the major activities we are working on and then we will have an answer – question-and-answer period. We also have Matt Bradley in the room with us, our President and Tammy, who a lot of you from the IR side know. So, thank you very much for joining today and I hope the information that we are about to give you will get you as excited about our future as we are. Nola, I will turn it over to you.
Nola Heale: Good morning, everyone. As Bill mentioned, the period since I joined FLYHT on September 15 has been recently busy for me learning the nuances of our new industry, picking up the range of CFO, and working through preparation of the budget for the 2015 year and finalizing our third quarter results. The third quarter as you have seen in the MD&A and the financial statements showed our highest revenue quarter for 2014, although we all hoped it would have been better. The industry events outside our control like MH370 and procrastination in China are two examples of the challenges that the company is meeting. Our kits statistics have all been very good. We shipped 35 kits this year, recognized revenue on 32 kits and installed 48 kits. 13 of those shipments went to China. It’s all good news and ahead of last year although it’s not where we would have hoped it to have been. The uptime usage charges on our 51% of our total revenue, which is also encouraging and unquestionably a benchmark we would hope to add to. Expenses, as you would have seen in the statements are higher due mainly to sales representation to grow our revenue base in the Malaysia area. Efforts to increase revenue sources for our uptime applications; travel, both because of the different locations that our customers are in compared to prior periods; and the FLYHT representation at industry group meetings after the disappearance of Malaysian Airways MH370 and the greater number of industry shows that we have been attending. Secondly, retirement, severance and recruitment costs of people which are all one-time charges in this quarter and of course, legal fees related to the OTCQX listing and the SNC litigation settlement. Our industry levels – our inventory levels, apologies, have increased partly because of fulfillment of order commitments to Jabil and then industry planning in anticipation of some large orders that are expected in the next 6 months. This builds us an interest rate where our lead times on supply are a bit longer. Receivables have increased above prior year levels due especially to slow payments from two customers. Service to one of the customers has been suspended, but cash is coming in slowly. So, we do expect they will return to becoming a recurring revenue customer as the relationship does remain good with the customer. And collections from the second customer are very long outstanding, but we know collection is assured as it is related to government funding. So, those can be slow, but they usually do come in. With that brief summary on the financials, I would like to hand the microphone back to Bill.
Bill Tempany: Thanks very much Nola. What I will do is go through some of the major programs that everybody always asks about. I do have some questions that were e-mailed in which I will answer and we will take questions from the audience as soon as we get that done. Everybody is always interested in China and how quickly it’s moving and our foothold in China is very strong. To the best of our knowledge no one besides us other than the factory-installed Inmarsat systems, have ever been rolled out in China. There are no other installations besides ours. We know that the airlines in China have been doing everything in their power to try and fight the mandate to add equipment to their aircraft and taking their time in doing it. But by 2017, all of the aircraft in China have to have satellite communications. The government shows no weakening in its position as to the mandate or changes in those requirements. And we believe the next couple of years are going to be very busy for us. We do have nine airlines now that have committed to use the FLYHT products. We are working with a lot more and we have got people going back and forth doing engineering and sales activities in China. Part of the travel increase this year was due to a lot of people going to China to work with their engineering departments to get ready to do installations. The inventory backlog that we have that Nola mentioned was our commitment to Jabil to take a number of boxes that we expect to deliver to China that hasn’t come through yet. But it will come through next year and we do have product on hand so that we can ship as those orders come in. We are very excited to announce that we did receive an order from L-3 for Airbus factory installs for delivery in November. It’s for 35 units and they will be delivered this month. The activities at Airbus have picked up substantially. The L-3 sales team is very excited about our prospects and the number of units we will be doing there and we will be recognizing revenue for at least those 35 in this quarter. So that’s a huge step forward. Some of our people were at recent industry event and ran into some Airbus people. Airbus was very pleased with the quality of our work, the performance of the contract to deliver the AFIRS 228 to them for line fit and in conversations after the sessions said that it’s been one of the best programs that Airbus had run recently the adoption of AFIRS for SatCom on the A320. As most of you know we settled a dispute we were having with Sierra Nevada Corporation in Nevada in the second quarter that allowed us to eliminate a $2 million payable from our books and set them up as a sales partner. In Q3 we had many meetings between our staff and the Sierra Nevada staff doing product training and pricing and features and benefits training that did pay off. We received two orders in the last two weeks from Sierra Nevada. One for a military customer and one for a commercial customer both of those were for two units. So I do have a press release that I am trying to get out on that. Its, SNC is a very large company and the same is getting a press release out of any of these large companies. It’s difficult, but we do intend to press release those because it’s quite exciting for me after all the years of negotiations and disputes that they are actually staffing and running with this and providing product in accordance with the agreement we signed to settlement of the outstanding disputes. So very, very pleased with where we are with Sierra Nevada. And I think next year be a really good year with the Sierra Nevada folks. A lot of people have been concerned over the activity of the number of sales we have closed this year, there has been a shift in what we are doing and how we are doing sales. The ability to have product installed at the Airbus factory is an opportunity for us, but until it starts rolling out, it’s really hard to go and sell services. So we did step up our sales force in early second quarter we have activity going on in Southeast Asia because of that additional staff that’s really exciting and I think we will see results before the end of the year from that work. And we just signed a contract with a group of 12 individuals that specialized in marketing and sales in this specific arena that we work in. And they will be doing trade shows, sales activity, sales support activities with our internal sales force. So we are looking at a ramp up of our activities in the sales and marketing department to get our name out there. The addition is in August of the two new Board members, John Belcher and Barry Ackerson has been very good. They have attended two meetings now, quarterly meetings and are working with us to open doors in the industry through their contacts. They are both very complementary of our people, our products, our services, the need for this in the industry and those will definitely help enforced sales team get out there and get some results that everybody will be happy and proud of. We are as Nola said a little bit disappointed in the third quarter, but it is growing it is coming back and we are making in roads in some big accounts because of other relationships that we believe will really show some bellwether results in 2015. We have had a lot of questions around the aircraft tracking task force. There is a misconception in the industry about the difference between the work that they are doing and what we do with AFIRS. The ATTF as its called is looking for a means to be able to spot where an aircraft is or where an aircraft went. It doesn’t have any smarts built into the process as far as we know. The results aren’t out, they were supposed to come out in September then they were in December. We have got people in the Middle East meetings right now and heard yesterday that they are now planning it to be the end of February before results are out. But what we do with AFIRS is not only be able to tell people where their aircraft is at any point in time, but also tell them if there is something not right. If it’s not in the plate path it was expected to be, not at the altitude it was expected to be, it doesn’t have the fuel it should have, if there is problem with engines or the airframe we can tell people about that. And so what we have tried to reinforce with the industry is tracking as a good start, but you need learning, you need to be able to tell people that it’s not right because if somebody is sitting staring at a screen with a 100 aircraft on it and one of them all of a sudden doesn’t appear anymore. It’s really hard to pick it out. You need an alert that says this aircraft is not where it’s supposed to be. Somebody should pay some attention to it. And once you know that it needs attention, it will be really handy to know what the attention should be. Is it something that diverted because of weather, is there a mechanical problem, is there a way to find out what’s going on with that aircraft either from a data point of view, so we can transmit data that tells them what’s wrong with the aircraft or be able to pick up a phone or send a text to that aircraft anywhere on the globe and say what’s the problem, what kind of help can we provide to you. And our customers in Northern Canada live by this system to be able to get the help they need and get the attention they need when weather circumstances change or aircraft condition changes. So the tracking task force is going to produce recommendation for a system that is pretty easy to meet, but as far as we are concerned it doesn’t go as far as it should to improve the safety of air travel. And we are working hard to change that. The ATTF has caused delays in our sales efforts. There are lots of people saying that we need to see what the regulations are, make sure you meet those regulations, but other people have started to say we are not going to wait. We are going to get things done. So we’ve participated in an alphabet soup of agencies in the last 8 or 9 months. The ITU, ICAO, IATA, NTSB, FAA all of those agencies are looking at solutions. And we are creating a place for FLYHT with those organizations. We presented at a National Transportation Safety Board meeting in Washington in early October. That has driven the FAA to look into what we are doing and how we are doing it. We were at the ITU and ICAO meetings in Kuala Lumpur in May and presented solutions that they had asked questions about. And we are at the International Flight Safety Foundation in the Middle East right now doing a paper as well. So I think we are spending money to be part of the industry and part of the solution. I don’t think it’s going to be a short-term fix. It’s one of those things in this industry where it takes a long time to get consensus and then a long time for the regulations to be implemented and enforced, but it is something that we are very hands on and actively working on. Our distribution strategy and sales progress I think is one of the questions that came in the e-mail. And as I just said, we have engaged an organization to help with that. We have increased our sales force. We are also increasing our sales support staff so that we have got experts that can be sent on sales trips with the sales people to make sure that our products are properly represented and that we are at the front of the sales process instead of trying to catch up. One of the questions that came in by e-mail was our recurring revenue versus last year Nola talked about that a little bit. One of our fairly significant customers was having trouble keeping up with their bill payment. We did suspend services to them earlier this year. They have been making payments. They do want the system turn back on, and we will see a bump there. But revenues have been growing even with the low install rates we have experienced this year. Recurring revenues have been growing. And we have been working on new products that will increase that per month revenue. There is products has been rolled out in the last couple of weeks to select customers that will be rolled out by the end of the year. And that will be a nice change for our customers to get new products and a nice change for us to have increased recurring revenue. So I think there is a lot of good things happen so far this year to us. I know that the financial results aren’t quite with the street and expected, but we have certainly built a solid foundation for this business. Airbus announced in July that we are part of the – it’s a part number on the A320 line. The settlement of the Sierra Nevada agreement and the ability to get into military contracts, China’s unwavering desire to get SatCom on all their commercial aircraft are all very good. It doesn’t show in the financial results, but we are certainly in the right place at the right time on those. We are making progress on all fronts. The technology is becoming more and more solid as it set out and hardened as our engineers call it. So every time you go on a new aircraft and if you find something different and we are getting those things fixed and making it better. This quarter was stronger than the previous ones. And it is a trend that we see continuing. I think 2015 is going to be an excellent year for us. I think it’s one of those perfect storm years where everything comes together and part of the reason that we have been building inventories and making sure we are ready for that is so that we can deliver. We have done a lot of work over the last two years improving our processes and our performance outsourcing, some of the bottlenecks like manufacturing of the box and assembly of the kits. And we are in a very good position to be able to meet the demand as the growth happens over the subsequent quarters. The product is performing well. As every new product, there is hiccups but our guys are fixing them and we are getting out there. And as I mentioned earlier, we have a very happy customer in Airbus in what we've delivered and how we performed during that process. So, with that I will open it up to questions.
Operator: Thank you. We will begin the question-and-answer session. (Operator Instructions) Our first question today comes from Naser Iqbal of Salman Partners. Please go ahead.
Naser Iqbal - Salman Partners: Thanks Bill and congrats on the quarter. Just had the question, could you may be refresh us on where the China business stands, because I think in the last quarter I think you expected an order of 20 units, this third quarter you had previously shipped 8 units of the 20. So maybe could you just maybe explain where that business is right now in terms of those 20 units, from the first quarter in that 20 units, you had expected this quarter?
Bill Tempany: We have recognized revenue for 13 kits from that 20. I think there is another 5 being delivered, but haven’t been installed yet. So you got to remember the revenue recognition issue here where we ship it and then we can’t move into revenue until the installation is completed. So I think we are about 18 of the 20 installs. And I know that they are working right now on a new order in China whether we get it this year or next I can’t say, but they do know that they have – the airlines know that they are going to have to start moving and people are starting to scramble to do that.
Naser Iqbal - Salman Partners: Okay. So the expectation that there could have been a 20 unit order in this quarter or maybe in Q4 if that does happen would you be able to recognize units in terms if there was a deposit on those new 20 units?
Bill Tempany: There will be a deposit and that will be in our customer deposit section and the liabilities. Depending on how many airlines that’s spread across and how many shipped, we could recognize more than the 2 that are left or as well as 7 that are left to recognize, 2 to their left to ship this year, but I know that Tuesday night Jeff Brunner was working with China to start working on the next order. I am not sure where it got to.
Naser Iqbal - Salman Partners: Okay. And then moving on to the great announcement on the 35 units for the L-3, so will you be able to recognize in Q4 revenue on 35 units or will it be again same in terms of the revenue recognition cycle that you will be able to recognize something, but not all 35 units?
Bill Tempany: We will recognize all 35 units in the third quarter.
Naser Iqbal - Salman Partners: Okay. And just my final question, how much of the ARs was due to these two customers and the collection issue?
Bill Tempany: Almost $0.5 million, $460,000 roughly.
Naser Iqbal - Salman Partners: Okay, great. Thanks a lot. And great progress on all fronts you have been executing on.
Bill Tempany: Thank you.
Operator: The next question comes from Marc Berger of MKB Associates. Please go ahead.
Marc Berger - MKB Associates: Hi Bill, again good progress. The question with regard to regulations, Europe has been pushing on that, of course the world has been pushing on that. Any discussion with Airbus with regard to them just mandating your product on their entire line, so that it’s not just going to be those that are going over water and do you see that as something that may happen within the next year?
Bill Tempany: Well, Airbus doesn’t do mandates. Airbus takes orders from customers and puts the equipment on if they need and each country does their own mandates. So Airbus won’t be doing anything to mandate. Airbus definitely is selling communication services to their customers and our box fits very nicely in the Airbus product suite for some tools that need data and we are working with them on that capability. As I said our relationship with Airbus is really strong having Airbus America’s President, Barry Eccleston on our Board. He is certainly helping us get into Airbus customers to talk about the benefits of having our products on board. And we now have enough people to be able to do that. So I think that we are now to a point where we can make real progress on that front.
Marc Berger - MKB Associates: So can we assume or I assume unlike in the past where I thought maybe 25%, 35% of all the Airbus planes would have your product because it goes over water, that’s not the emphasis anymore and that your target area is now possibly the 100% as opposed to 25%, 35%?
Bill Tempany: Marc you know, me and my target area is always 100%, 115% if we can find it. But I do believe that the Airbus folks think that it will be quite a bit higher than 25% to 35%. And we are working together with programs to help customers understand the value of our products, and therefore drive the demand.
Marc Berger - MKB Associates: To help on that drive of demand, we once spoke about this before, insurance it’s like a car if you have insurance on a car you get a discount, have you tried working with any major insurance companies to try to work out some type of deal to help the airlines understand how much they can possibly save and maybe even the cost of your equipment be for free as they put this on?
Bill Tempany: There are – is work being done in that area, I have an invite to go to Geneva with a major carrier to go talk to the underwriters and I am not sure when that’s going to happen. But we are working on that.
Marc Berger - MKB Associates: Last question, can you give us more guidance and direction with regard to the Dragon and what you foresee on possible orders in the future there?
Bill Tempany: The Dragon is never – we have never intended to go out and sell onesie, twosies of that and we are working on a couple of large significant orders for the Dragon China and another Southeast Asia opportunity that are sort of 500 plus part of the process is to go through and get local regulations adhere to set up local FLYHT following and data requirements that they are going to want to set in. And there is two programs ongoing. Those again like everything in aviation takes forever because you have got to get the local authorities to approve what you are trying to do. And every local authority has their own set of bureaucrats to go through them and find ways to ask more questions and slow things down.
Marc Berger - MKB Associates: Okay. Thanks very much.
Operator: The next question comes from Eyal Ofir of Clarus Securities. Please go ahead.
Eyal Ofir - Clarus Securities: Hi guys, so just few questions for me. First off on just to get this another way operating expenses what should we be modeling in kind of the quarterly run rate, I think you said, you have hired a few new staff members and obviously there is some restructuring (indiscernible) but what is kind of the run-rate?
Bill Tempany: Well, part of the operating expenses, are the travel that we have been doing for ICAO and IATA and it has not been minor. I think by February of next year once the committees have come up with a recommendation that will taper off. We have not, the staff that we have added is in the sales department, so it should be in the – it’s not cost of the goods sold anymore, it’s cost of sales, but the growth should be there not in the operating expenses.
Eyal Ofir - Clarus Securities: Okay, it’s interesting. Once you just put them in sales and marketing, why won’t you put them in salary and cost of sales?
Bill Tempany: Well, I am not the accountant, Nola you are up. Maybe they are ridiculous.
Nola Heale: Yes. Some of the cost is in the distribution expense line, but the run rate will probably continue at more or less the level of that in Q3 if you just take out the one-time expenses that we have in our press release. You would be able to model a new run rate.
Eyal Ofir - Clarus Securities: Okay, that’s fine. Just on the opportunity in China, you said now you are at nine airlines looking to deploy your product, how many planes will they represent and how many planes will they actually deploy your product kind of over the next three years as the mandate comes in?
Bill Tempany: We have an order today for 216, but they have taken 20 out so far. We expect the next order to be bigger. If you took all of the aircraft in those airlines, it’s a big number, but I don’t know how many of them have Inmarsat already. There is also part of mandate as anything that’s going to be retired in the next 3 years. You don’t have to put SatCom on, so I don’t have fleet life to know what those are. So I can’t give you a number on that, but it’s a significant number.
Eyal Ofir - Clarus Securities: Okay. So, you expect the next 20 or more is coming over the next call it few months in terms of orders?
Bill Tempany: Next three months, they will definitely be another order whether it makes in Q4 or Q1, I am not sure.
Eyal Ofir - Clarus Securities: And can you remind us is there any certain percentage of their aircraft that have to have the stuff installed by the end of 2015 that could accelerate orders in the first half of next year?
Bill Tempany: Yes, it’s 40% by the end of 2015.
Eyal Ofir - Clarus Securities: Okay. So, that’s a big number. And then just on the L-3, you had said there was 35 going into the L-3 ordered for the Airbus off the line installations, anything going on in the retrofit installations, are you seeing more demand there, and then what’s your thoughts of that going forward?
Bill Tempany: We don’t know the destination of those 35 yet, but we do know that there is an active push on by Airbus in the retrofit market and that’s 10 times the size of the newbuild market. But one of the things we are working with L-3 right now is to get the destination aircraft for these, they needed for warranty purposes, we needed for royalty calculations and for going into – upselling the customer and that’s a process that’s going on right now with L-3 to figure out how we are going to do that and how we are going to keep communications long.
Eyal Ofir - Clarus Securities: Okay. And then just as they get installed, what’s the timeline to get them live and running on the data feed and to become a recurring client for you from a recurring revenue standpoint?
Bill Tempany: It really depends on the airline and what they are doing and where they are going, but it’s not a 3-month exercise, it’s going to be 6 to 18 months to be out there getting them up-sold on the services we do. We have got to hook up some additional wires and make some changes when it gets out there. So, there is a little work to be done, but we have got a platform on board that’s when we were at.
Eyal Ofir - Clarus Securities: Yes, that will be if it’s off the line, but if it’s a retrofit, it will be probably faster.
Bill Tempany: Yes. On a retrofit, it’s faster, yes, absolutely.
Eyal Ofir - Clarus Securities: Okay. And then – yes, and then just on the pipeline, any other outside of China in L-3, NFMC obviously any other opportunities that you are seeing in the pipeline that could be meaningful for you over the next call it the next 12 months?
Bill Tempany: Yes.
Eyal Ofir - Clarus Securities: Can you give a bit more than that?
Bill Tempany: No, I am not telling you.
Eyal Ofir - Clarus Securities: No, I am not looking for client names, I am looking for potential size wide like what are the airlines taking while they are doing and what’s holding them back I guess?
Bill Tempany: Well, part of what was holding people back was we didn’t have the announcement from L-3 and Airbus. And since that came out, it’s helped us get through the doors and startup selling some stuff. We have purposely been working on larger opportunities instead – well, I shouldn’t say that, there is – we are signing small customers too. It’s not that we are ignoring them, but the new salespeople are focused on major opportunities and there are several of them quite a ways down the pipeline. So, we are….
Eyal Ofir - Clarus Securities: Give them at late stages?
Bill Tempany: Yes.
Eyal Ofir - Clarus Securities: Okay. So, you expect – can we see something over the next call it 3 to 6 months, it’s more meaningful in size?
Bill Tempany: Well, we always hope so, but let’s not forget that aviation moves at the speed of darkness and making a decision is a large committee body of work.
Eyal Ofir - Clarus Securities: Okay. And then in terms of the actual decision cycles there in terms of the process, the RFP process, did they compare your product to another vendor or did they just don’t really having too many options. So, you are kind of the only one option they were considering on the gates?
Bill Tempany: Well, it’s even worse than having competitors and there are some out there, ICG and Avionica that sell ACARS over Iridium that don’t have the other services. In a lot of cases, when we are trying to sell our solution, we are trying to change how they do things in their company, which is very difficult in an airline. And there is more and more of them realizing that they need to change. The fact that fuel is kind of at record lows right now and they have got some money to spend, people are looking at how do we improve for the long-term and that gives our system some advantages over meeting a mandate type solution and just throwing something in. So, part of the reason we are staffing up right now with as many people as we are in the sales organization is to get maximum coverage on the 2,500 potential customers on the planet.
Eyal Ofir - Clarus Securities: Okay. And in terms of sales people, how many did you have it in the last quarter, how many did you have it, how many have been there?
Bill Tempany: Well, full-time, we had three people at the end of the last quarter that were customer facing plus three consultants. At the end of this quarter we will have 15 customer-facing and probably two contractors and that may even grow from here, depending on what we see as need.
Eyal Ofir - Clarus Securities: Okay. Well, that’s good ground. And in terms of the training process for these guys, are these guys seasoned veterans or they kind of jump right back into the – can they jump right into it and sell the product, they need go through like the six months training exercise?
Bill Tempany: They need some training, but it’s not start from scratch. These guys – the vast majority of them came from competitors that are no longer in business. So, they know the market. They know what we are trying to achieve and we will hit the ground running.
Eyal Ofir - Clarus Securities: Okay, thanks. I will pass the line. Thank you very much.
Bill Tempany: Thanks.
Operator: The next question comes from Fadi Benjamin of Pope & Company. Please go ahead.
Fadi Benjamin - Pope & Company: Okay. Hi Bill and Nola. First question that I have been looking for is just to a bit of housekeeping here. The 40% that you expect by the end of 2015 for China orders, those are for the whole Chinese fleet or is it just for the orders that you guys have, if you could shed light on that?
Bill Tempany: The mandate is to have 40% of the Chinese fleet with SatCom installed by the end of 2015. Now, that includes existing Inmarsat installs as well as new installs. And where it really varies is if you get somebody like China Southern or Air China that 50% of their fleet is long-haul aircraft and they are already equipped with SatCom. They don't have to worry about it. But you get the smaller regional airlines that are all single aisle narrow body aircraft and they have none installed. They have to get half of their done by the end of 2015. So it really varies based on the type of operator and type of fleet where they stand against that 40%.
Fadi Benjamin - Pope & Company: That’s actually very helpful because we obviously the big growth in China is in the small single aisle so this actually could be a significant opportunity for you guys.
Bill Tempany: Absolutely the Chinese fleet is about 75% single aisle.
Fadi Benjamin - Pope & Company: Next question, sir if you don’t mind, with regards to R&D expenses you guys mentioned in your press release that things are leveling – going to level off at some point, when do you expect the leveling off to be and if you can add a bit of color about why do we – where most of that R&D expense is going to right now, I am under the understanding that the 228 is pretty much in final condition or in sellable condition?
Bill Tempany: Yes. The thing that also gets booked to R&D is the engineering for supplemental type certificates. The reason it gets booked R&D is sort of qualifies for shred credits. So, that was something that is ongoing and will continue. It represents about $1 million a year. So, you don’t want us to stop getting aircraft approvals. That’s what is our bread and butter being able to install on any aircraft. So when I – the R&D on the 228 is wrapping down there is actually I think four people that are doing cleanup on two programs. And at the end of that the 228 is complete and certified and there will be work on additions to it, other capabilities to add outside the box, but the box itself is finished. So R&D is probably 60% engineering right now 40% that kind of cleanup. And you can’t completely do away with R&D in a business like this. You got to keep product fresh and so on. So it will – it’s the engineering that’s been extensive because of opportunities we have been chasing.
Fadi Benjamin - Pope & Company: Okay. So by engineering you mean chasing SBCs?
Bill Tempany: Yes, exactly.
Fadi Benjamin - Pope & Company: Okay. So, we should be should be expecting that the cleanup side of it, at least 40% to start coming down a bit?
Bill Tempany: A little bit, yes.
Fadi Benjamin - Pope & Company: Okay. Now with regards to Southeast Asia, are you able to give us a little bit of color about the opportunities there, you guys have been out to Malaysia and you obviously have some representation there. How does that market look for you? I mean, you have stated there is significant opportunity, could you provide additional color?
Bill Tempany: Well, Southeast Asia is the second fastest growing market after China for new aircraft sales. Nobody in Southeast Asia other than China is trying to build a competitive aircraft to Airbus and Boeing and that – Indonesia is the fourth or fifth largest country in the world and they are going through economic growth and a middle-class boom that hasn’t been there ever before and those people want to travel, they want to fly. So, I see that part of the world as being a very significant growth area for us and we will continue to invest in marketing and sales in that part of the world.
Fadi Benjamin - Pope & Company: Okay. And on that side of it, I mean, I am glad to hear that, that obviously the investment in Southeast Asia is going to be more geared towards people who are doing more traveling and if you could just dovetail on that, what are you doing from your end with regards to the strong need for more efficient flying and fuel cost savings for airlines. You obviously travel a lot and talk to a lot of agencies and organizations regarding the tracking aspect of your solution. However, the overwhelming value-add is in all the cost savings, how are you addressing customers and customer needs when it comes to that side of it?
Bill Tempany: Well, definitely, the pitch of our salesman is you get to save a whole bunch much of money and all by the way, it means the mandate to know where your aircraft is. We are not outselling the FLYHT following, we are selling operational efficiencies, improvements in communications, ability to know more about your asset and reduced downtimes, turnaround times. Those are the things that our product is designed to do, and that’s what our sales guys are outselling.
Fadi Benjamin - Pope & Company: And what are your expectations in terms of customers on that side of the business like obviously Airbus is probably trying to sell to airlines on those basis you would hope, but what are your expectations in terms of products of kits or orders that might be coming for that type of mandate call it vis-à-vis were there a number of your clients who have picked up the product looking at the value being in the tracking?
Bill Tempany: I don’t believe that. I don’t think any of our customers bought just for tracking. They bought because they need better communications and they need better information on their asset. The work that our sales guys are doing out there is saying you can continue down the path of 60-year-old technology that you have been following for the last X years however long they have been in business or you can continue to do that for your back office systems, but you can use this system to give you better information to manage your operations. And our push is to give people better information to manage our operations and save money doing it.
Fadi Benjamin - Pope & Company: That’s great. Thank you very much.
Bill Tempany: Okay, no problem.
Operator: The next question comes from Chris Worrall of (indiscernible) Securities. Please go ahead.
Unidentified Analyst: Hey, guys. Actually, my question was just out with on the R&D side, so anyway thanks guys.
Bill Tempany: Thanks, Chris.
Operator: (Operator Instructions)
Bill Tempany: I have got one more question that came in from e-mail, but I will answer while we are waiting to see if anybody else wants in? The question was how have events in Nigeria affected FLYHT’s performance to date projected for 2015 and beyond given the unrest, Ebola and terror attacks that are ongoing as a company doing business in Nigeria are the staff assets and contracts at risk? We have been dealing directly with the Government of Nigeria and the Director General of Civil Aviation in Nigeria. We haven’t said people back to Nigeria for I don’t think anybody went this year. Did they, Matt?
Matt Bradley: No. We ran out (indiscernible) Nigeria.
Bill Tempany: Yes. And so we don’t have staff in Nigeria and we won’t put people at risk. Having said that, the government of Nigeria is using our systems, there are several customers in Nigeria using our systems. And we continue to support them from both here and Ireland where our support people for Africa are living. Okay any other questions?
Operator: Yes. We have a question from Joe MacKay of Global Maxfin Capital. Please go ahead.
Joe MacKay - Global Maxfin Capital: Good morning everyone.
Bill Tempany: Hi Joe.
Joe MacKay - Global Maxfin Capital: Bill, most of my questions already have been addressed, but I am just kind of going over my notes here and just a couple points I guess one you have indicated a large order the next – large orders in the next six months bellwether results in 2015 and you indicated you expect kind of a perfect storm in 2015. So, I wanted to kind of if you could articulate why you feel so comfortable making those comments and what would it take for it not to be a perfect storm or not to be a bellwether results, maybe if you can just kind of talk about internally some of the benchmarks that you guys had that wouldn’t maybe not make it a bellwether or a perfect storm, what does make it a perfect storm?
Bill Tempany: Well, a year ago, just about a year ago 10 months ago Matt stepped out of the VP Sales role and on President’s role for the company specifically to make sure that the products got finished and we are working properly and that there was people and processes in place so that when sales did occur we could get stuff out. At that point we had one person in China and we had one person here in Calgary doing sales. Since then, we have added 14 people to the sales organization. We have added a whole machine at Sierra Nevada Corporation that’s outselling. The mandate in China has a ticking clock and as hard as airlines push to delay that, there is no sign of that changing. So they are going to have to move, they are going to have to do something. So I think there is things can go wrong in anyone of those sections, but we have got four or five pretty key areas that have got real momentum and people behind it and the training done and people hitting the street running that we have never had before. We have never had the level or the expertise, the number or the qualified people that are out there going to be selling our product as of today. So that’s why I am making that statement is because there has been a fundamental shift in this business from trying to get products finished and trying to get processes in place to a machine that’s ready to accept orders and people out there getting those orders.
Joe MacKay - Global Maxfin Capital: That’s fair. Thanks very much.
Operator: We have a follow-up Marc Berger of MKB Associates. Please go ahead.
Marc Berger - MKB Associates: Hi Bill. We have order from COMAC, the Chinese company that’s got over what 400 boxes with us, could you give us an update on that contract and the product being that CJ was that actually come into the marketplace?
Bill Tempany: Okay, well. We don’t orders for that many boxes. There is that many ARJS on order. And that is the brand-new aircraft that they are bumping out. And there has been delays on it which are not unusual. The 787 was delayed and the A380 was delayed. And the norm in this industry, if you look at Bombardier and their C-1000 delays or the norm not the exception, our relationship is with Datang Mobile in China who is the supplier to AVIC and COMAC. They are continuing to work with AVIC and COMAC to get the aircrafts certified and once it’s certified then we should see orders coming.
Marc Berger - MKB Associates: And they have any ballpark as to when they think that might be approaching?
Bill Tempany: Yes. It was guaranteed to be before the end of 2011?
Marc Berger - MKB Associates: Alright, great. Last question anything with regard to Boeing or because we are so heavily entrenched with Airbus now does Boeing look upon us as not wanting to be interested because of the wonderful relationship that Boeing and Airbus seem to share?
Bill Tempany: We are working three new angles to get into Boeing. But there is nothing significant to report at this point. Boeing has not selected or certified a Boeing part number for what we do. And we continue to push to be an option there. So, it’s the speed of darkness story with (indiscernible) in this business.
Marc Berger - MKB Associates: But if you get an order from China and it’s a Boeing or should I say Boeing gets over from China, they have mandated to put something on and the plane is not quick with (indiscernible), where else would they go if not to you and then how would Boeing actually get that on there?
Bill Tempany: We have been watching to see how it happens. We don’t know yet.
Marc Berger - MKB Associates: Okay, thanks very much.
Bill Tempany: No problem.
Operator: We also have a follow-up question from Fadi Benjamin of Pope & Co. Please go ahead.
Fadi Benjamin - Pope & Company: Bill, congratulations obviously on that new North American cargo customer that you guys got. Are you able to give me an idea of how many of your sales force is dedicated to cargo customers vis-à-vis passenger carrying aircraft or do you guys – do you have some sort of strategy on tackling the cargo business?
Bill Tempany: Our sales guys handle both. We don’t separate it by cargo versus passenger. Most – a lot of our customers are like Canadian North and First Air, fly what they have called Combi aircraft, where it’s half freight and half passengers. So, the answer is we don’t separate them and we are talking to anybody that flies enough aircraft to need our system.
Fadi Benjamin - Pope & Company: Thank you.
Operator: There are no further questions at this time. I will now hand the conference back over to Bill Tempany for closing comments.
Bill Tempany: Well, I appreciate everybody’s time and dialing in. I know that we have been doing these for a long time now and it’s always been patience, patience. I feel better today about the business than I have in a long, long time. I think we have a lot of exciting things coming together. We have got some good people and some good relationships that are going to help us expand the footprint and grow the business. And I want to thank everybody for their continued support and we are working as hard as we can to make sure that it all pays off in the end. So, thanks everybody for your time and we will talk to you soon.
Operator: This concludes today’s conference call. You may now disconnect your lines. Thank you for participating and have a pleasant day.